Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 Kilroy Realty Corporation Earnings Conference Call. My name is Towanda and I will be your coordinator for today. [Operator Instructions] As a reminder this conference is being recorded for replay purposes.
 I would now like to turn the conference over to Mr. Tyler Rose, CFO. Please proceed. 
Tyler Rose: Good morning everyone. Thank you for joining us. On the call today with me are John Kilroy, our CEO, Jeff Hawken our COO, Eli Khouri our CIO, Heidi Roth, our Controller and Michelle Ngo, our Treasurer.
 At the outset, I need to say that some of the information we will be discussing is forward-looking in nature. Please refer to our supplemental package for a statement regarding the forward-looking information in this call and in the supplemental.
 This call is being telecast live on our website and will be available for replay for the next 7 days both by phone and over the Internet. Our press release and supplemental package have been filed on a Form 8-K with the SEC and both are also available on our website.
 John will start the call with an overview of the quarter and look at our key markets. I'll follow with financial highlights and initial earnings guidance for 2012. Then we'll be happy to take your questions. John? 
John Kilroy: Thanks, Tyler, and hello, everyone. Thank you for joining us today. The fourth quarter was another very active and productive period for KRC, capping what has turned out to be one of the company’s strongest and most successful years since our IPO, fifteen years ago.
 Throughout the year, we made significant progress in leasing, in the expansion of our franchise in the West Coast markets, in bolstering our management team, and in our capital recycling program. Results are evident in our rising occupancy numbers in improving financial results in the list of dynamic companies choosing to join KRC’s tenant list and the changing profile and long term growth potential of our own enterprise. We’re highly focused and motivated, we’re executing well and we’re building momentum in every market we serve.
 Our fourth quarter leasing efforts produce new or renewing leases on 1.3 million square feet of space in 48 transactions. That pushed us close to 2.6 million square feet of leasing for the year, our strongest annual leasing performance in the company’s history. The nature of many of these leases also says a lot about our growing stature in the market as a landlord who can deliver flexible creative workspaces, as well as global corporate headquarters to meet the unique needs of the individual tenants.
 In transaction like those with DIRECTV, TD Ameritrade and PAC-12 Enterprises to name just three, we are developing physical working environments in close collaboration with our tenants designed to advance their own creativity and productivity. Tenants such as these don’t view their new workspace as just real estate, but as a strategic advantage in their businesses, and that kind of commitment tends to make strong partnerships and long-term tenants.
 Our expansion into important West Coast gateway markets also continued in the quarter. We completed the acquisition of 2 more properties in the SOMA district of San Francisco, the strongest real estate office market in the country, with a reported Class A vacancy rate in the very low single-digits. We have expanded our portfolio there at 6 properties totaling more than 2.1 million square feet. We have now become the largest Class A landlord in arguably the best real estate market in the country today.
 I think there is a larger story going on here, over the past 24 months through careful acquisitions, geographic expansion and talent recruitment; we have transformed KRC into the premier landlord along the entire West Coast. We now have a deeper branch of experienced management talent that is the full spectrum of capabilities across all regions and a growing real estate footprint in high potential Seattle and San Francisco markets to complement and diversify our strong position and valuable development pipeline in our traditional California coastal markets. We have assembled all the elements from much broader operating platform that can deliver significant additional growth and value creation for our shareholders.
 Our financial and operating results despite a challenging market environment have begun to reflect this reality. Over the past 2 years, we have executed more than 4.5 million square feet of leasing transactions. We have increased our occupancy 960 basis points and are now approaching our long-term average of 94%. We have produced 6 consecutive quarters of rising cash, same-store net operating income. We have acquired 1.3 billion of high quality properties in key gateway markets at significant discounts to replacement cost. We have completed $228 million of dispositions as part of our capital recycling program and we have generated a strong total return for our shareholders.
 Looking forward into 2012, economic conditions remain choppy and rental rates are recovering unevenly, but County employment numbers have improved and our mark-to-market on existing leases is strengthening.
 We continue to pursue acquisitions in the best West Coast markets with energy and discipline. We're seeing a fair amount of product come to market both core and redevelopment transactions and we remain interested, but prudent buyers.
 As previously announced in December, we completed the $92 million acquisition of 370 Third Street a 410,000 square foot office property in heart of SOMA at a discount replacement cost of approximately 35%. The property was 9% leased and occupied at the time we entered at escrow in the fourth quarter and during escrow we increased the lease percentage to 37% signing a 11-year multi-floor lease with Pac-12, with the Pac-12 conferences, media subsidiary Pac-12 Enterprises. We are in active negotiations on the balance of the space in the building.
 Also as reported previously, we have a 320,000 square foot Los Angeles area office building in our pipeline that we expect to close in the second quarter for approximately $77 million or $241 per square foot.
 We estimate the acquisition price to be approximately 50% of replacement cost. If the true value out play as the current owner has limited resources to attract and retain tenants is currently 88% leased with in-place rents estimated to be approximately 33% below current market rents on a triple-net equivalent basis.
 In addition, we are in active negotiations on a handful of other opportunities primarily in the Bay Area in Seattle. Capital recycling will continue to play an important role in our strategic plans. We completed the disposition of a 192,000 square foot industrial building in the fourth quarter for a gross price of $45 million or $235 per square foot and recorded a net gain of approximately $39 million on the transaction.
 And just yesterday we closed a $146 million disposition of 2 of our 4 San Diego medical office properties. Our purchase prices on the buildings translate to a price per square foot of $729 on the 151,000 square foot building and $350 per square foot on the 103,000 square foot building, which implies strong valuation we believe for our San Diego portfolio. I should note on the building that we sold for $350 a foot, the tenant all the TI [ph] work at their expense when that transaction went together.
 The gain on the transaction was over $73 million. Our capital recycling program has generated approximately $212 million since the third quarter of last year and we currently have an Orange County landsite in the market for approximately $25 million.
 Our strategy is to harvest the value of select assets and reinvest the proceeds in properties where we see better value generating opportunities. In a related initiative, we are currently evaluating several strategies for monetizing the value of our 3.4 million square foot industrial portfolio including a direct sale or a potential venture.
 New development also remains a possibility for 2012 given the combination of increased demand and a lack of available large blocks of suitable space in certain markets. Demand continues to grow in specific San Diego markets particularly Sorrento Mesa where the direct vacancy rate for Class A properties is below 2.4%.
 Large tenants are once again beginning to seek new high-quality space that may provide us with the opportunity to develop a new state-of-the-art property on land within our development pipeline. The same dynamics are also becoming more prevalent in certain Bay Area markets as well.
 Given all these activities, we are enthused about our expanded management team. As a brief review, one year ago, we had Eli Khouri as Executive Vice President and Chief Investment Officer, also in 2011; we added Mike Sanford as Head of our Northern California region and Mike Shields as Head of our Seattle region. We also added to our construction and asset management teams. Finally in the next few weeks, we will be announcing the addition of a new senior level hire who will be responsible for implementing our Los Angles growth initiatives.
 In summary, as we look to 2012, it promises to be every bit as active and productive as last year and we believe we have positioned the company for both near-term and long-term growth.
 Now let’s take a closer look at our individual submarkets. All of our submarkets are showing improvement, but at varying rates. San Francisco remains the top performer with Seattle and San Diego a close second and third. Los Angeles is improving slowly with wide variation among submarkets and Orange County is recovering faster than many anticipated.
 Starting with San Diego, the overall region has now experienced positive absorption for 9 consecutive quarters and has its lowest unemployment rate in 3 years. There is increasing momentum in Del Mar and Sorrento Mesa and the technology quarters around these 2 markets with a significant reduction and availability of large contiguous blocks of space.
 In addition, we are making progress at our Mission City property. We are working on leases that could take that occupancy to over 90%. Overall, San Diego demand is diversified across several industries including technology, life science, finance, professional services and healthcare. Our San Diego portfolio was 92.5% leased at the end of the quarter.
 Moving North Orange County, the industrial market observed over 2 million square feet of space in the past 12 months. And the vacancy rate remains flat at 5%, the lowest figure in over 2.5 years. The Orange County office market experienced the sixth consecutive quarter of positive absorption, parking the longest stretch of positive net absorption, since 2006.
 Demand was largely driven by the information technology, healthcare, and alternative energy industries. Also, after several quarters of declining rents, rates increased slightly in the quarter. Overall, our Orange County portfolio was 99% leased at the end of the quarter. The office portfolio was 95% leased and the industrial portfolio was 100% leased and occupied.
 Continuing North to the greater LA metro area demand remains uneven although the trend turned generally positive. The office market experienced positive absorption driven primarily by a few large deals including our recent 720,000 square-foot lease with DIRECTV. Vacancy rates declined modestly in the fourth quarter.
 Now West Los Angeles market demand and tenant activity continued to pick up with interest from a range of entertainment, media, tech, consumer product, and service firms.
 Net absorption was modestly positive and rents were up slightly from last quarter. Our Santa Monica Media Center is now 100% leased with the recent expansion of Universal Music and at our Westside Media Center, we signed several leases last quarter then moved its lease percentage to 99%, currently we are 98% leased in our West LA submarket.
 The 101 Corridor Class A market had modestly positive absorption in the fourth quarter. We are 88% leased in our Calabasas properties, 91% leased in our Thousand Oaks property, and 15% leased in our 265,000 square-foot complex of Camarillo.
 Moving in Northern California, San Francisco remains a stand out performer with 2011 ending the year with nearly 2 million square-feet of net office absorption. Of that, 500,000 square feet was in the SOMA submarket. And I should point out, that does include substantial leasing that's occurred on buildings such as 370 and another that's under redevelopment.
 The supply of available large contiguous blocks of office space in SOMA is the lowest it has been since 2000 with vacancy in the low single digits, very strong demand. SOMA has boosted rents more than 50% on a triple net basis over the past 18 months. Demand is largely driven by technology and media tenants, service and support firms, and online retailers. Looking at other Northern California markets that are performing well, Sunnyvale, Menlo Park, Cupertino, Palo Alto, Mountain View, and Santa Clara all are basically a frictional vacancy.
 San Francisco Bay Area portfolio now represents approximately 18% of our pro forma annualized NOI. Overall, our stabilized San Francisco properties are 96% leased.
 Moving to Seattle, an area that now produces approximately 8% of our pro forma annualized NOI. Our east side submarket experienced positive absorption for the seventh consecutive quarter. Another strong submarket in this region is the South Lake Union area, which now has a vacancy rate of 8%. Large technology and media companies account for a major portion of leasing activity in greater Seattle, with demand also coming from the advertising and business firms that support these companies.
 Our East side portfolio totals 900,000 square-feet and these properties were 90% leased at the end of the quarter. That’s an update on our market conditions and activities.
 A quick recap, while market volatility and economic uncertainty are likely to remain, we continue to make great leasing progress and are seeing rental rates in some of our markets increase.
 We will continue to be disciplined acquires in the best West Coast markets. This might be the year that KRC returns to development in selected markets. We will continue to execute our capital recycling program and consider other strategies from monetizing mature assets in our portfolio. We have expanded our management team to take advantage of what we believe will be increased opportunities throughout our various markets. And finally, financial strength and a strong balance sheet remain essential components of our operating strategy.
 Now, I’ll turn the call over to Tyler, who will cover our financial results in more detail. Tyler? 
Tyler Rose: Thanks, John. FFO was $0.66 per share in the fourth quarter and $2.29 for the year. That includes $0.06 of share in other income have resulted from a cash payment awarded through the bankruptcy court related to a 2009 tenant default. The fourth quarter also includes about a [indiscernible] of share in broken deal cost.
 We ended the year with stabilized occupancy at 92.4% that’s up from 89.1% at year-end 2010. Occupancy was impacted by the acquisition of 301 Brannan that is 66% occupied the disposition of the LA industrial property that was 100% occupied, and by moving the 2 San Diego buildings sold in January, both 100% occupied out of the stabilized portfolio.
 By product type our industrial portfolio occupancy was 100% at the end of the fourth quarter up from 94% a year ago. Office occupancy was 90% up from 88% a year ago. As of today, our operating portfolio is 94% lease.
 Same-store NOI continued to improve. GAAP NOI rose 10.1% and cash NOI rose 16.2% in the fourth quarter. For the year GAAP and cash NOI increased 5.7% and 8.2% respectively. Excluding the tenant default payment fourth quarter GAAP and cash NOI were up 2.2% and 7.4% respectively, and for the full year were up 3.6% and 5.9% respectively. We had a new paid store supplemental this quarter that provides details on the leases that were signed during the quarter, so we now provide detailed statistics for leases commenced and leases signed.
 As of today we have approximately 330,000 square feet of LOI’s outstanding all of which are for office leases and 50% are for new leases. We estimated that rent levels on our overall portfolio approximately 7% over market, down from 10% a year ago. We have approximately 1 .1 million square feet of leases expiring in 2012, which we estimated to have rent levels about 10% over market.
 As previously reported during the fourth quarter we completed the acquisition of 2 office properties in the South of Market districts of San Francisco. In November we completed the acquisition of 301 Brannan Street, a 74,000 square foot per consumer building [ph] for $30 million, it was 66% occupied at the time of our purchase and we’ve now leased the remainder of the building. Full occupancy is expected to occur in April.
 Stabilized [ph] cap rate is projected to be 7.4%. As John mentioned, we completed the acquisition of 370 Third Street in December and it is now on our redevelopment portfolio. [indiscernible] prices projected to take occupancy in midsummer; the stabilized cap rate on the redevelopment is projected to be approximately 7.9%. In terms of our dispositions we completed approximately 212 million since mid 2011. The cap rate on the industrial transaction was 6.4%, was in-place rents about 35% above market.
 Cap rate on the San Diego disposition was approximately 5.4%. In conjunction with our recent disposition, our current bank line balance is now $120 million and our cash balance is roughly $40 million.
 During the fourth quarter, we raised approximately $13 million under our ATM program, at an average price of $36.09 net installing commissions [ph].
 Now let's discuss our initial guidance for 2012. To begin, let me remind you that we continue to approach our near-term performance forecasting with a high degree of caution given all the uncertainties in today's economy. Our internal forecasting and guidance reflect information and market intelligence, as we know it today. Any significant shifts in the economy or markets going forward could have a meaningful impact on our results in ways not currently reflected in our analysis.
 Those caveats our assumptions are as follows. In terms of acquisitions, we assume a closing on the previously discussed Los Angeles acquisitions in second quarter. Properties estimated purchase prices $77 million and as part of the transaction we will be assuming approximately $55 million of debt. We will only include the pending of acquisition-related expenses in our 2012 numbers at this point. We did not assume any further acquisitions or dispositions in our budget. No any additional acquisition-related expenses. We assume no ground-up development starts in 2012.
 Average operating margins are approximately 70% some seasonality in the summer given the slightly higher utility costs during the summer months. We have approximately $250 million of maturities in the second quarter and third quarter. We’re currently working on a bank term loans or refinance some maturing convertible notes and a secured loans refinance some maturing mortgage.
 In terms of G&A, as we discussed last year, our run rate have moved up a bit as we've added some very strong senior executive and reasonable talent to build out the management team for future growth. But big picture our core G&A has been flat or down 3 years in a row, and our G&A as the percentage of revenues have been following as well. For 2012 we are currently working on 2 initiatives.
 First, as we have discussed previously the company has another long-term incentive plan for several years given our strong performance over the last 2 years, we're now in the process of working with our compensation consultants to establish a pay for performance in the central stock option plan, we expect to issue 10-year stock options that would best over 5 years to about 20 members of the KRC team.
 Second, the Board is also working on restructuring employment contracts just to restructure certain provisions that will market at the time of our IPO and exchange as anticipated that will be long-term expected stock brands that will be earned based on a combination of shareholder return and time. All these agreements are still to be finalized. We have included an estimated accounting cost in our guidance.
 The expense is almost all non-cash, investing will be over multi-year periods and achievement will be primarily based on stock performance at a time when our shares are close to a 52-week high. Our G&A run rate, which has been about $7.5 million per quarter, will now be about $8.5 million per quarter.
 Moving to redevelopment, revenue recognition on 2260 El Segundo, part of the DIRECTV campus is currently projected to begin by the end of the fourth quarter. Revenue recognition on 5010 Wateridge or the TD Ameritrade campus is currently projected to begin in late third quarter.
 We expect to end the year at 93% occupancy, subject to potential future acquisitions and dispositions. Taking all this into consideration, we are providing initial 2012 FFO guidance of $2.38 to $2.58 per share.
 That’s the latest news from KRC. Now we’ll be happy to take your questions. 
Operator: [Operator Instructions] Your first question comes from the line of Michael Bilerman with Citi. 
Joshua Attie: It’s Josh Attie with Michael. Just a quick question on the new stock plan, you said it was really performance based. Is it absolute stock price performance or relative stock price performance? 
John Kilroy: Well, I mentioned stock option plan, though that’s strictly performance of the stock. So if a stock doesn’t go up, there is no payment. I also mentioned that the potential restricted stock rents related to the restructuring of the employment contracts and that would still to be determined, but would be based on both a relative and an absolute basis as well as over, as well as time, that’s the workout. 
Joshua Attie: Okay. And how do you think about the dividend longer-term? The coverage is pretty low today, but your balance sheet leverage is low and I understand that you’re leasing up a lot of assets, which requires capital. But over what period of time, do you expect the free rent to burn off and the CapEx to go down, when, at what point do you think you have got 2 more reasonable coverage ratio and then how do the asset sales play into that, because when you are selling fully leased buildings that’s going to probably be dilutive to near-term cash flow? 
John Kilroy: Yes. That’s a good question and we had the same question a year ago when we, a year ago, we saw it, by the end of 2011, we’ll be covering the dividend, but then we did a lot of leasing, we did the DIRECTV deal, which has leasing commissions in CapEx, which some of that hit in the fourth quarter of ’11. So, it’s hard to predict exactly what is going to come out. But our current projections show that for the year of 2012, we should be just about covering the dividend. It’s a little bit cyclical in a sense of quarter-by-quarter, but the DIRECTV income for the third building doesn’t really hit until fourth quarter or early next year. So that’s fairly accretive transaction. so that will clearly push us into the covering range, but as I said for 2012, we still think taking everything else the same that will be basically covering the dividend this year. 
Joshua Attie: And is there a way to breakout what the free rent component of your straight-line rent is? 
John Kilroy: It’s usually about 90% of the straight-line rent. 
Joshua Attie: It’s free rent. 
John Kilroy: Not free rent. Free rent of the straight-line rent. 
Operator: Your next question comes from the line of Chris Caton with Morgan Stanley. 
Chris Caton: Two-part question on dispositions and acquisitions. First on dispositions, with regard to industrial what are the key factors and kind of when you either or now right say or JV and is - would that transaction be subject to closing acquisitions and then, John on acquisition front, you've talked about wanting to do and we just heard a little update on focusing on value-added acquisitions. Can you give us a sense of where these stabilized yields are in some other situations you're looking at? What type of spread you look for relative to more core acquisitions? 
John Kilroy: Okay, well Chris, I'm happy to do that. I've written most of this now, but if I miss one come back to me, will you? On the industrial, the factors that we are looking at are basically where we achieve the best pricing. We are confident that we can sell and achieve very good pricing if we sell out right. We've also had a number of players come to us that are on the pension thought fund side and have said, hey, would you consider doing some kind of a venture where it would involve us largely monetizing the industrial and then, having an activity to acquire additional industrial as we see fit with us having a modest investment in that ongoing activity. In a modest call with regard to do the acquisition of future properties.
 Now, I want to say that I've never been a big fan of joint ventures, but I don't want to rule them out. I want to do what’s best for the realization of the most dollars for the company. So those are the sort of the 2 bookends that we’re looking at. That process is probably going to take, Eli, how long? 
Eli Khouri: I think that will take us a solid 4 months to kind of get to [indiscernible], knowing clearly where we’re headed. 
John Kilroy: Right. And one of the calculations there is it’s in the context of a venture if we view that to be a good situation intellectually. But we’re able to, let me give you an example. If at the end of the day it was 85% or 95% realization of repatriation if you will, of the value of the industrial, but it was at a lower overall valuation then we would make the equation that’s not a good trade. So that's kind of where we're going on industrial. We have a lot of people that have approached us on our industrial; it is just amazing how many folks are out there, where we receive so many unsolicited offers frankly at values that are greater than what we valued the industrial at. On the second point with regards to stabilize yields and what we've achieved to date I mean, we've announced that before, but you heard us speak to the assets, value-add we're sort of looking at anywhere from 7.5% to 8.5% stabilized with our near double-digit or better on core and I almost speak to core. We don't see ourselves as being big buyers of core, because it’s been too pricey. The one exception would be is if we could be successful, we don't know that we will be, but if we could be successful in a profile, which included a big discount for replacement cost and rents in place that were significantly below current and below projected future rents when leases role then that could be interesting, if it's a strategic asset. But I want to say that our entire investment acquisition thesis is predicated upon investing only in the very best markets where we do receive discounts to replacement, where we do achieve what we hope to be superior returns. And for assets that has the physicality to meet the needs of the modern workforce, which the bones of the building and the systems are all important because you got to have legs for the value to grow up over time. And I think you had a third point, I'm not sure what it was. 
Chris Caton: I was asking about spreads, but I think you hit everything pretty specifically, so I appreciate that. Just one last follow-up, do you think on the industrial in terms of the value discussions you’ve had, you think you can hit a $100 of foot in terms of valuation? 
Tyler Rose: I prefer not to comment on that, we'll have the portfolio out in the market soon, and we do not want to give any information right now, that's going to indicate to buyers what we see the valuation as. I'm very, very confident and, a very aggressive core like cap rate and if you were to apply that to our incomes associated with those, I think you can derive your own value and you certainly wouldn't be short. 
John Kilroy: Just to put in perspective, the transaction that we did roughly 192,000 square feet in El Segundo, which is industrial building. Although highly improved by the tenant. We sold that for $45 million which is $230, round number is $235 a square-foot. We were very pleased with that result, now that's translated to about $220 net to us. But we're very pleased with that transaction, that's in no way endeavoring to say that the rest of our industrial will command such a high price, but that particular asset the El Segundo property have rents, in place rents that were 38% above current market and we achieved very good pricing. So, we feel pretty comfortable that we’re going to get very good pricing on the balance of the industrial. 
Chris Caton: Yes, just not a third question here, but the supplemental on page 20; you do have a blended rent 685, is that in place or is that escalated and is that a triple-net rent or is there some expenses in there? 
Tyler Rose: All those rents on that page are blended rents. For most of the industrial, it’s going to be triple-net, but it’s a blended number. 
Chris Caton: And in the footnote, is that escalated or in place? 
Tyler Rose: That’s currently in place. 
Operator: Your next question comes from the line of John Guinee with Stifel, Nicolaus. 
John Guinee: Couple of quick questions sort of Eli, the strategy that you’ve outlined, you and John have outlined sort of implies that once you’ve got DIRECTV tenancy in and Ameritrade tenancy in and those have got some lease term on them, but they would also be candid as for sale and to the extent, could you comment on that? And then also on your Scripps lease, which I think expired in 2027, just what kind of numbers are the, the private REITs paying these days for good buildings and good credit and long-term tenants? 
Eli Khouri: Now let me deal with the first part of that John. We’re not going to comment on specific assets at this point until we announce an asset is going to be put up for sale or that we sold it. I don’t really want to speculate on what assets we might sell. There are some obvious assets within our portfolio where they are pretty well buttoned down for some period of time. so I think it’s probably realistic to think that in due course those assets might be in play. If there is any free rent we probably want to burn the free rent off first. But we also look at the balance between our portfolio and what kind of rents are in place in those transactions and what kind of rents we think that will occur in the future so more to come on that. With regard to the Scripps, lease expiring in 2027, are we talking about, is that the building we just sold or is that the one that’s also in Del Mar? So the cap rate on that was 5.4%. 
John Guinee: Is that a private REIT buyer or some other entity? 
Eli Khouri: It’s an institutional; not a private REIT, but it is an institutional level buyer. 
John Guinee: Okay. And then Tyler, do you have any intention of redeeming your preferred stock that’s in the mid 7 to high 7s, your preferred shares? 
Tyler Rose: Yes. I mean, it’s a good question. We’ve been looking at that, pricing for us has been in the sort of 7 3/8s range for a while. It looks like it might be going down a bit. we have the 780s out; it’s only $40 million. But as that pricing gets closer to 7 it becomes more compelling, when you, given you have to add-in the fees to do the transaction. so, I guess that’s our way of saying, we’re looking at that and we need a little more movement I think to make it make sense for us to do a lot of that, but something on our radar screen. 
Operator: Your next question comes from the line of James Feldman with Bank of America. 
James Feldman: Tyler, did you say what you think same store NOI looks like next year based on the guidance? 
Tyler Rose: I didn’t but it's about 3%. 
James Feldman: That’s in a cash basis? 
Tyler Rose: Yes. 
James Feldman: Okay. And then can you guys talk a little bit more about the development opportunities just frame maybe how many opportunities are out there and exactly what markets you're thinking about? 
John Kilroy: Yes well, this is John, Jimmy. In San Diego, I mentioned the Sorrento Mesa sub-market there. We have pretty strong demand for high-quality facilities are above the 60,000 square-foot, 70,000 square-foot range. And so, I could see starting something perhaps on Lot 2 of our gateway project for about $80 million.
 We estimate on, based upon the transaction we just did with TD Ameritrade that that would produce and I think I gave these numbers once before, but somewhere in the early 8s, 8.5, 9 on incremental costs and somewhere in the neighborhood of a 100 to 150 basis points less than that. On total cost that's a first year yield on leverage. We’re also beginning to have discussions now that we have a full operation in the Bay Area with development expertise, having discussions. We’ve been sought out by a number of folks in the technology related fields that are interested in having us take a look at building their campuses for them. Whether or not those things go together, they always take longer than one would imagine. But, I think that we’ve had a lot of tours of our Intuit campus and other campuses that we've done here in Southern California with some of the big users up in the Bay Area and I'm comfortable that in due course we’ll be able to be successful in that effort whether that particular initiative will happen this year or not I don't know. And then lastly I mentioned that we have a new hire that I’m unable to announce today, because of confidentiality agreement we have with the current employer. But we’re hiring somebody to run our LA value add and develop its strategy and with that individual, I'm comfortable that we're going to be able to see over time some real results. We think that developing to higher yields in some of these markets is a better play than just buying assets at considerately lower yields. 
James Feldman: Okay, and then back to San Francisco -- would that be fee development or... 
John Kilroy: No, I'm not... 
Tyler Rose: Give it any… 
John Kilroy: I won’t say, we want to do fee development, but I don't see us doing. I think it’s an inappropriate allocation of resources and takes talent and brainpower away from that which really creates long-term lasting values. So, if we do it, it will be to accommodate our existing client or is an entry into a larger relationship with another client. 
Operator: Your next question comes from the line of Craig Mailman with KeyBanc Capital. 
Craig Mailman: Jordan Sadler is on the line with me as well. It sounds like you guys have a pretty active acquisition pipeline in San Francisco and Seattle. I'm just curious, do you think the magnitude to get to what we’ve seen in '10 and '11 in terms $600 million or $700 million or is that just too much given were pricing is coming in and the opportunities you guys are seeing? 
Eli Khouri: This is, Eli. It's hard to say. If you look at the pipeline and properties that are coming right now, it looks like 2012 will have more properties trading or higher overall transaction volume than we’ve seen in the past. If you look at the capital environment compared to call at the end of last year Q3 and Q4, I would say the capital environment kind of flattened out in Q4 and has remained flat starting into Q1 here. So I think we’re in a very similar environment that we were in the last half of last year. Probably some modest changes with respect to the amount of capital [indiscernible], modest changes with respect to the number of fields in the market and a little bit of modest amount of extra debt in the market. So all that nets out to me as the environment now is about the same as it has been for the last 2 months. And we'll be looking at everything for things that are strategic, for things where we can create value, where we can create NAV per share through our acquisition efforts and our pre-development efforts and put a number on it, I think it's impossible to put a number on it. And I know that's where you finding get to, but, I see has been act right now, I don't see the door being shut, there was nothing pushing pricing up further at the end of the year, last year, and in some ways moderated. And I think, there will be plenty of opportunities, the properties more in the value add, some in the core. So we’ll look at lot of opportunities this year, how many will execute is up to the nature of each opportunity. 
John Kilroy: Eli, I’ll add this on to it. That currently we have negotiations going on and I always want to comment that a negotiation is just that even though you might be in the final stages of the negotiation isn't a deal until you've signed a PSA and gone through all the due diligence and close escrow. So with that very specific caveat we have about in addition to the $77 million asset here in the Los Angeles area that we are confident, we’ll close in the second quarter. We have about another $300 million or so in active negotiation between the Bay Area and Seattle that we think we’re making very good progress on, they’re terrific assets and the yields are pretty much where our yields have been over the last year or 2 and these are killer assets. Again, we may or may not end up finalizing them. 
Craig Mailman: That’s helpful. And then just the second question, with regards to San Diego portfolio, what percentage of the square footage or assets however you want to cut it up would be consistent with the medical office assets that you sold so from a price per square foot basis or potential cap rate basis? I’m just trying to get a sense of the breakdown of that portfolio. 
John Kilroy: That’s a mouthful. The only reason I say that because we own so many assets there, you really need to drill down. But I think what has been, what we’ve seen here is that assets begin to trade at higher dollars. There is a lot of activity in San Diego looking for product. And there is a great line of differentiation between true quality product and product that might be pretty good, but not quite a ground at [Maine and Maine] and I would think that the kinds of cap rates that were manifested here on our MOB would be likely to be manifested in our other 2 MOB properties as well as properties like our most significant portion of our holdings down there like Sabre Springs Corporate Center, like our assets in Del Mar, like the Intuit campus. I think all those, which rate in sort of that cap rate range based upon what we’re seeing today. And the others could be plus or minus. 
Operator: Your next question comes from the line of Michael Knott with Green Street Advisors. 
Michael Knott: Couple of questions for you. Tyler, how come you’re going to end 2012 at only 93% occupancy given the percent leased is above that today? I was a little surprised by that. Is there some big rollovers coming this year that you don’t expect to retain, is that part of the math? 
Tyler Rose: I mean we have 2 rollovers that are over 100,000 feet, one is a 144,000 square foot leased in Orange County with industrial, which we think we will retain and the other is HP in San Diego, which we think we will, we won’t retain, whether we get that leased by the end of the year, don’t know. And then the next one down is a 75,000 foot Orange County industrial building that is moving on here in the first quarter. So we do have expirations of a $1.1 million that we need to release and obviously as you get closer to that in 94% or 95% occupancy level is just harder to get that number up much higher than that. So maybe it’s a bit conservative, but we feel comfortable with it. 
Michael Knott: Okay. And then in terms of office industrial, just curious if you have broken out that portfolio mark-to-market given the unique circumstances of how your LA building traded, I think it’d be good for us to know in terms of trying to value the industrial? Is it still about 20% over a market and offices closer to zero, is that… 
Eli Khouri: I don’t, do you have that number in your head Tyler? I know that in our industrial, we recall we had significant vacancy in the downturn because we have quite a few assets that were expiring at that time that had been leased in a more robust period and had 3% or 4% per annum adjustments and we had big roll down in our industrial portfolio. So maybe you could talk about it generally there, Tyler, you’ve got scheduled. 
Tyler Rose: Yes. I mean, I quoted 7% over market for the portfolio and our numbers is showing about 6% over for office and 14% over for industrial. 
Michael Knott: However, I would also comment that what we’re seeing is industrial. The strength of demand moving quite rapidly and whether that 14% turns out to be 4% or whatever it turns out to be who knows? 
Tyler Rose: Yes. We’re very close to that right now in selling our industrial portfolio and conditions are quite tight, I mean like they said earlier on the call, they can seize around 5%, there continues to be plenty of activity in demand on it and I think rents if we would have tried to mark them to a minute, I mean they are up and I think my expectation by the time, we’re selling this thing is that we should be selling values that people look at as the portfolio is near market right in the range of market might be a little better, might be a little bit worse. But given the activity we’ve seen by the time we get out there, I think people will view the market, people buying the portfolio will view it to be least largely a market. 
Michael Knott: Sounds like you already achieved that on the LA sale with 5% of the market there. 
John Kilroy: Yes. But that’s a sampling of one and we’re going to be out in the market looking at values here very shortly. so I think we have a much better indication of how accurate that 14% or whatever that number might be, it is indeed in this market. 
Michael Knott: Okay. And then just a similar topic to that, any thought about breaking out your same store NOI performance between office and industrial? You can obviously think about that but… 
Tyler Rose: Yes. 
Michael Knott: Another question and then my last question would just be John, with regards to Seattle, you mentioned South Lake Union in your comments. 
John Kilroy: I did it. Yes. 
Michael Knott: Should we assume that some of the deals you’re working on out there are maybe in that submarket? 
John Kilroy: I am not prepared to comment on that. 
Operator: Your next question comes from the line of Caitlin Burrows with Credit Suisse. 
Caitlin Burrows: How does your guidance reflect your convertible debt given that cap collar they have in place and is there a share price where additional dilution would be more of a risk? 
Eli Khouri: Yes, for every $2 of increase in stock price is about $0.01 a share and in terms of the stock price is around $36, but we have a collar on it, moves it up to about $42. 
Operator: Your next question comes from the line of Dave AuBuchon with R.W. Baird. 
David Aubuchon: John, relative to your comments regarding in senior level hire in LAs, you’re focusing on that value add development strategy. Was that roundup development or just sort of trolling for redevelopment opportunities within the broader LA market? 
John Kilroy: Still I think initially Dave it’s going to be value add, this asset that we are buying is $77 million asset, and assets just down the block recently traded for $500 a foot in round numbers, which is we think pretty close to replacement. We are buying that asset… 
Eli Khouri: 242. 
John Kilroy: 242 a foot. we think there is some real opportunities to reposition that building not only, because it’s been just functional on its ownership and so forth and they haven’t had dollars for TIs, but the market has been very robust. And we think there’s retail opportunities and what not. so that’s a true value-add place I mentioned in my comments. We think there is some other transactions like that, that are out there, that we’re having some discussions on. Ground up development I think there is a ways a way in LA, but I think in the LA area, obviously you know the markets we lag. In due course, I think that, there may be opportunities there, but I don't see that as something that’s happening in the next year. 
David Aubuchon: Okay. And just sort of moving down to San Diego, can you give an update on your strategy or may be the activity that you're seeing in the [indiscernible] quarter generally, but Rancho Bernardo Corporate Center specifically, because you do have a lot of potential there I think. When you bought that asset there was a certain game plan in place not sure, sort of where that stands today? 
John Kilroy: Yes, that's an asset that frankly has been; we thought we would have that thing developed some time ago. We've had about 5 people to, 5 brides to the altar, and in each case, we were very close last year, but a company got acquired by another company and they haven’t made a decision whether they want to proceed with the plan and in that case it was going to be the existing 300,000 square feet plus up to another 0.5 million square feet of which half of that would happen concurrently with the initial transactions. That’s kind of on hold, we don't know where that's going? But we are happy to say that, J. Paul with their property, and I forgot whether they call if there did a number of transactions and leased that space. So, we think that bodes well for that market, there is no sizable real square footage available in that market. We do have a number of assets that are very well leased in a couple of smaller ones that are partially leased in that market that, we feel we had a go ahead and re-tenant those which were in the process of or at least the negotiation on. Rents have got to move a little bit for in ground-up development in that market whereas rents they just follow, we just have a TD Ameritrade and some of the discussions we're having with others in Sorrento Mesa, so we think they are for the larger transactions, larger development meeting plus or minus hundred thousand square feet. If you’re talking about developing a 20,000 square foot building I think you’d be out of your mind, because there is a lot of 20,000 square foot spaces that people can go. 
David Aubuchon: So, I-15 is sort in the last market, some market to move in San Diego? 
Tyler Rose: It’s funny about, if you go back and Mike [indiscernible] got pointed out to me a number of times over the years. And if you plot sort of I-15 and you plot Sorrento Mesa it means Sorrento Mesa is on fire I-15 for some reason in sort of the 2-story product chills a little bit until and then sort of the reverse when the I-15 markets may be on fire. It sort of amazes or chills a little bit. The difference I think this time and I'm always concerned about people saying it is different this time, because in my life and I've been around most longer than most people on this call. There is always something new that comes along and it can be good, it can be bad. But you've got to be watchful. What I'm pleased by is that with the technology-based companies it seem to be populate so much of the West Coast. They're really focused on the kind of workplaces and the kind of buildings that help them attract and retain their people, because you're dealing with high-powered brainy people. And they're not looking at space as has frequently been the case with other users as a commodity. They are looking at a campus or a building that sort of personifies the way they want to use space and the way they want - the image they want to have. We think that bodes well for Kilroy, because we’ve tended to have [indiscernible] high quality buildings. So it’s going to be uneven in San Diego, just as it is in LA, but we’re making great improvement down there in leasing and we think we’re going to see rental rates increase over the course of this year. 
David Aubuchon: Okay, I appreciate that response. Just a few more random questions, is there any debt attached to the industrial assets? 
John Kilroy: No. 
David Aubuchon: Okay. The provision for bad debt expense went up in the quarter. Tyler, the reason? 
Tyler Rose: Yes, there was a couple of tenants, specifically that were on our watch lists, but we’re a little more worried about them, so we increased our reserve to 100% for those 2 tenants. 
David Aubuchon: Any particular market or just spread out? 
Tyler Rose: I think one was in Los Angeles; one was in the San Diego. 
David Aubuchon: Okay. The bank term loan maturity that you're sort of looking at to take out the convert is what? 
Tyler Rose: Probably it’s 4 plus 1. 
David Aubuchon: Okay. And then pricing that you're hearing right now? 
Tyler Rose: Yes, right now we're looking at floating rate. We haven't decided whether we would fix it or not, swap it or not, but on the floating rate basis its LIBOR plus 175 for 2. 
David Aubuchon: Okay. And then thoughts about using your ATM and you didn't put that - you didn’t say anything relative to guidance, obviously you did use in Q4 a lower share price just sort of was [indiscernible] strategic or sort of maybe give your thoughts around the ATM program? 
John Kilroy: Yes, well I mean, we're trying to, we've been buying a property, we brought 2 properties in the fourth quarter. So the goal with the ATM was to de-lever a little bit, obviously it was very small amount. But, I think if nothing else changed we would probably continue to target to raise a little bit of equity capital over the next few quarters, depending on where we go with more acquisitions for us to be think that, but we want to manage our leverage and we're going to be hopefully closing this office building in the second quarter in Los Angeles. So that's one way to do that. 
Operator: Your next question comes from the line of Ross Nussbaum with UBS. 
Jeremy Woods: It’s Jeremy Woods here with Ross. Just one quick question most of ours have been answered. Is anything with the industrial portfolio contemplated in the 2012 guidance? 
John Kilroy: No. 
Operator: Your next question comes from the line of Dave Rodgers with RBC Capital Markets. 
David Rodgers: John, with the acquisitions you talked about that you’re looking at today both in Northern California and Seattle, you had mentioned early in your comments in the prepared remarks, mentioned a number of submarkets in Northern California. Are you thinking of moving down the peninsula and is there any change in your Northern California strategy? I didn’t hear if you had answer that. 
John Kilroy: Yes, I figured somebody would catch that, I’m sure everybody has and I sort of figured somebody would ask that question, so thank you. We don’t have anything in escrow in those markets today. We do have a transaction or 2 that we’re looking at. You might recall earlier, in an earlier conference call sometime this past year both when we hired, when Eli joined us as well as when Mike Sanford from San Francisco joined us, both of those 2 live in that Bay Area, have developed in that Bay Area. I think Eli has bought probably and sold more buildings in that area than any person alive, given his speaker days and broad ridge days. Mike Sanford, 10 years younger, but he has had similar experience. We like some of those markets. We probably should have been earlier in some of those markets, but we’ve been very focused on SOMA. And I don’t want to detract from SOMA, because we have some other things going on there. But I do like some of those markets and really when we look at it, your Palo Alto is ground zero, so I used that word is sort of the high price $800,000 or more per square foot for those assets and you sort of radiate out from there. we believe you want to stay in the influence of Stanford University close proximity to where our key decision makers live in terrific locations from accessibility standpoint and then, have a physicality of the assets that respond to the type of tenants that you see in that market. all those things coupled with price per pound and yield made for an interesting play. So I’m not going to say, we’re not going to do it, I’m not going to say, we are going to do it, but I can’t tell you that we have our ears and our eyes to the ground. 
David Rodgers: All right. And then last question from me. from an operational or maybe an AFFO perspective, are you still adding free rent at the same level I guess, to the AFFO statement we’ll call it, or are you seeing the burn off of free rent? Do you see any large burn off of the free rent during 2012? 
Tyler Rose: We’ve got the DIRECTV free rent that goes through most of the year. So, not really I mean, there’s still a fair amount of free rent in our numbers through this year with the leasing we’ve recently done. 
Operator: [Operator Instructions] Your next question is a follow-up from the line of Michael Bilerman with Citi. 
Joshua Attie: It’s Josh Attie. On the industrial - potential industrial sale, can you just talk about what your tax basis is in the assets and what some strategies could be to offset any gains, because I noticed there wasn’t any acquisition activity in the guidance? 
Eli Khouri: This is, Eli. I’ll take a quick crack at that. Our tax basis is very low and gains are something we’re going to have to manage very aggressively, very assiduously, which we’re doing, and we do have and we’re constantly in the middle of strategies of how to manage that with respect to gains as well as dilution having the properties go out and not having unidentified replacement properties. So, it's a very complicated matrix that, if you look back the last couple of quarters we had a similar level of activity going on where we were buying and selling several things at the same time. And I would just tell you that internally we have a team of people focused on precisely how to arrange these transactions, precisely how to time them, precisely how to provide, and this is the most important part, provide a high level of optionality both on what is going out and when and what is coming in and when. And it is very difficult getting to play in some respects but once you know how to play it, then you can do it, you can execute it very carefully I would say. Looking back on our execution through the end of this year we’re very pleased with it. It all worked out. We hit it exactly as we wanted it, minimized dilution, minimized any tax gains, distant 31s [ph]. We bought properties that we really wanted to buy, we didn't buy anything that we didn't want to buy just because we had to do a 1031, and so it all came together. So, the bottom line is it's a very rigorous process. We have the team and the system in place to make sure that that all happens and we’ll do the same throughout this year. And it will be a complicated transaction but it will be well managed. 
Joshua Attie: Thanks, that's very helpful. And Tyler, just a quick question on the guidance, you mentioned ATM issuance earlier. Is there any ATM issuance contemplated in the guidance? 
Tyler Rose: No. 
Operator: And at this time I would now like to hand the conference over to Tyler Rose for closing remarks. 
Tyler Rose: Thank you for joining us today. We appreciate your interest in KRC. Bye. 
Operator: Thank you for joining today's conference. That concludes the presentation. You may now disconnect and have a great day.